Operator: Good morning, ladies and gentlemen, and welcome to the Hapag-Lloyd Analyst and Investor H1 2025 Results Conference Call and Live Webcast. My name is Josef, the Chorus Call operator. Hapag-Lloyd is represented today by Rolf Habben Jansen, CEO; and Mark Frese, CFO. [Operator Instructions] At this time, it's my pleasure to hand over to Rolf Habben Jansen, CEO. Please go ahead.
Rolf E. Habben Jansen: Thank you very much, everyone, and really appreciate you making the time available to talk to us today. Happy to take you through our half 1 results. Maybe let me start with a couple of highlights. I would say when looking at the first half, we've seen strong volumes, good revenue growth with roughly flat freight rates compared to the first half of last year. Overall, I would say solid financial performance, even if there was certainly a fair bit of -- we had a fair bit of operational issues. And as expected, we had significant network transition cost as we move into Gemini. I think that phasing is now largely concluded. I think we can be really happy with the results that we have achieved so far, delivering 90% schedule reliability every month since the start. That's probably not what a lot of people were expecting, so really good. But of course, such a transition into a very different network is complex, and that means that we will definitely still do further fine-tuning in the course of the second half when we also expect to start seeing the cost benefit to come in. We've continued to upgrade our vessel and container fleets, and we've also continued to invest in our terminal business that will continue to grow also over the upcoming couple of years. We narrowed our earnings outlook as we simply have 6 months on our belt by now, and that means that we have better visibility of what's going to happen in the second half. Looking at the market, I'd say that the U.S. trade policies have certainly caused a fair bit of volatility, both in demand and also in short-term pricing, as you can also see from the graph here on the chart. We also would say though that in the end, the first half was probably a bit better than many people feared. When you would talk to all the analysts and economists at the beginning of the year, most people would have anticipated no or maybe even negative growth of the container market in 2025. And now we are looking at 4.5% growth after 6 months. I would say that that's very positive. That also means that we now see that the forecast for the full year are being lifted. I think a little bit closer to what we've said earlier, because we've always said that we still anticipate some growth. Of course, quite some differences between the trades, Transpacific very volatile, initially a bit of a rush, then a slowdown after the tariffs were announced, then a rush after that was the 90-day truce, then it settled down again. And I think when we look at the last couple of days since we see that, that 90-day period has been a standard, we see again a slight uptick. On spot rates, a peak in May and June, which in our numbers, you will not see very much of in Q2 as we report end of voyage, but we also saw those rates again coming down after that fairly soon. In terms of routing, we continue to go around the Cape of Good Hope, and we currently see no signs that we would be moving back to Suez before the end of this year. When we look at the latest situation on those tariffs, here is a short comparison between what did we see as initial announcements and where are we now in terms of base tariffs. I would say that in most cases, we see that those tariffs are a little bit lower with the notable exception for now of India and one that's not on this list is Brazil. But apart from that, we see that with a number of important trading partners from the U.S., these -- the tariffs are still there, but they seem to be a bit lower than initially announced. I think that's entirely as was to be expected. I do think though that in the long run, the tariffs are not good for global trade. I think we can all agree on that. But I'd also say that predictability is probably even more important than the exact level that we see. We've seen a lot of people having a wait-and-see type of attitude over the last couple of months. And now that we have a bit more clarity on what is happening, for example, with the EU, but also with a number of other larger trading partners, I expect things to start settling down again a bit. That will not mean an immediate surge in volume. I would still expect, though, that when you look at, for example, the Transatlantic that now that people know what is coming towards us -- them, and they also know that it's not going to be some of the numbers that they may be feared initially that we're going to see somewhat of a recovery there. But admittedly, that still remains to be seen. Two more charts before I hand it over to Mark on the numbers. One on Gemini. I think we can really be proud of what the teams have been doing. We've delivered that 90% schedule reliability every single month since we started, I don't think there's a lot of people that would have expected us. That's also a key factor behind the growth that we are delivering in the first half as we simply have not lost many voyages, which typically tended to happen in the past years, because if you look at the weekly capacity that we intend to make available, that has not changed all that much compared to last year. But now we're sailing it every week, and we're not blanking a ton of service or losing them simply because of delays. Also a significant improvement in on-time delivery on box level. That's something that we -- that will still go up further. And what's also quite encouraging is that on the back of Gemini, we see improvements also in non-Gemini services. So that means that, that lifts our performance overall. In terms of investing into our business, we continue to do that. The last 4 of the 24k ships that we had, orders have been delivered. Meantime, about 40% of our existing fleet has gone through the upgrade program. We still see customers willing to buy Ship Green this year, again, significant growth compared to last year. And then the green methanol thing, I think we have announced before. If you look at where we are today, we have an order book of about 300,000 TEUs at this point in time for delivery between '27 and '29. We are going to do a number of methanol retrofits that fits, of course, also with the offtake agreement that we have signed in China. And when you look at the newbuilds that we've gotten into our fleet over the last couple of years and what we are going to have, you see that we are renewing the fleet as we should for a company of our size. And with that, I'd hand it over to Mark for some comments on the numbers.
Mark Frese: Yes. Good morning, and thank you for joining us today. Let me start with a short overview in the first half of '25. As you can see here, we recorded strong volume growth which outpaced the market and solid financial results. And that is despite the challenging environment, and Rolf alluded on that and we will talk about that a bit. Group EBITDA and group profit remain broadly stable compared to the prior year period, and we continue to generate robust free cash flows while investing in fleet modernization and maintaining a strong balance sheet, which ensures that we are well positioned to execute on our strategic priorities. Let us now take a closer look at the financial results. We delivered strong revenue growth of 11%, reaching USD 10.6 billion in the first half of '25. This solid top line performance was driven by robust volume growth across both our Liner Shipping and Terminal segment, and despite uncertainties around the U.S. tariff situation. Group EBIT amounted to USD 677 million with strong revenue momentum tempered by temporarily higher costs related to port congestions and the phase-in of the new Gemini network. Group profit for the first half of '25 came in at USD 775 million, broadly in line with the last year's level. Looking now at the financial performance of our operating segments. The Liner Shipping segment recorded revenue growth of 11%, mainly driven by higher volumes. And that is while the average freight rate remained stable in the first half of '25. Higher expenses related to operational issues in ports, the ongoing ship diversion around the Cape of Good Hope, and for sure, start-up costs for the new Gemini network, that impacted the operating result as expected. Despite this challenging market environment, Liner Shipping posted an EBIT of USD 639 million. In second quarter, our growth momentum accelerated further, with transport volume exceeding 3.4 million TTEU. For the first half, volumes rose by 11% due to more than 6.7 million TTEU, and that is significantly outpacing overall market growth. This performance is particularly notable given the tariff-related demand fluctuations we have to navigate through. The strong growth is a direct result of our sustained investment in fleet capacity and the successful transition to the new Gemini East West network, which delivers a compelling value proposition for our customers. Growth was particularly strong on the Pacific and Asia-Europe trade routes. On the Atlantic volumes between Europe and North America increased moderately, while growth between Latin America and Europe, as you can see, was constrained by operational disruptions in ports. And the overall average freight rate for the first half stood at USD 1,400 per TEU, which is virtually unchanged compared to the prior year period. However, we have to say the trend within the year differed markedly to '24. The downward turn pressure on freight rates persisted in to Q2, resulting in a sequential decline of 11% to USD 1,324 per TEU. For Q3, we expect this trend to reverse due to higher spot rate rates at the end of last quarter with a positive effect on at least Q3. Coming to unit cost. In the first half of '25, they increased by 4% to USD 1,320. This increase was driven by higher storage cost per container, and that is the result of port congestion, operational delays, higher hinterland transportation cost due to a growing share of door-to-door business and the planned start-up investments associated with the Gemini network. These cost increases are transitional. The reshuffling of alliances combined with highly volatile demand from the U.S. has added to operational challenges for both carriers and ports. At the same time, we fully acknowledge that rolling out an entirely new network structure in this market environment is a complex task and that certain start-up costs were unavoidable. While Gemini phase-in now is completed, we have turned our attention to further fine-tune the network and delivering cost efficiencies. In addition, we have launched a comprehensive cost program that targets more than USD 1 billion in savings by the end of 2026. And this program will extend across the entire Hapag-Lloyd network and will include the synergies and efficiency gains already anticipated from the Gemini Corporation. Furthermore, we will also streamline our non-Gemini network, focusing even more on procurement excellence and review our SG&A expenses. The Terminal business delivered good revenue and profit growth in the first half of this year, supported by higher throughput driven by robust overall demand and additional volumes resulting from the transition to Gemini. The performance also benefited from the terminal, the new terminal in Tuticorin in Southeast India and the acquisition of our new terminal in Le Havre. The improving operational performance together with the gradual realization of synergies with our Liner business was partly offset by ongoing ramp-up costs associated with this new business segment. And as we said, it's our ambition to develop Hanseatic Global Terminals, our terminal brand into one of the leading global terminal operators and that has some investments as a consequence. Over the next 5 years, we aim to expand our portfolio from the current 21 terminals to a total of at least 30 terminals. For this reason, Hanseatic Global Terminals has established its first regional headquarters in Santiago in Chile on the 1st of August, which will serve as the operational hub for both North and South America. In addition, we expect the new terminal in Damietta, in Egypt, to commence operations by the end of this year, and become our 22nd terminal participation. Now jumping over to the cash flow development. Operating cash flow for the first half of '25 amounted to USD 1.8 billion. At the same time, we invested around about USD 1.3 billion, mostly invested in containers as well as the modernization of our existing fleet under the Fleet Upgrade Program. These investments are aimed at enhancing cost efficiency and reducing CO2 emissions, especially, and emissions across our operations. And I can tell you, payback times are short. Income from interest, dividends and divestments generated a cash inflow of USD 200 million. The total cash outflow from investments amounted to USD 1.1 billion. As you can see, as a result, our free cash flow amounted to over USD 700 million. And following the approval at the AGM, we distributed more than USD 1.6 billion to our shareholders. Including debt intake and it's interest payments of a combined USD 0.5 billion, total financing cash outflows reached USD 2.2 billion. And at the end of Q2 '25 the cash position amounted to USD 4.2 billion. As usual, I would like to conclude now my remarks with a brief outlook at our key balance sheet metrics. Mainly due to the lower cash position following the dividend distribution in May and investing activities, net debt increased to USD 0.9 billion. Nevertheless, we continue to maintain substantial liquidity reserve, which includes cash and fixed income investments and undrawn revolving credit facilities and that in total amounts to USD 7.1 billion. And with this strong liquidity reserve, which provides us with ample flexibility to fund our strategic initiatives and to navigate effectively through periods of market volatility, we are very well equipped. And having said that, I hand it back now to Rolf for a market update and our outlook. Thank you.
Rolf E. Habben Jansen: Thank you. Thanks, Mark. Yes, a few words on market and supply and demand. As I said earlier, I think at the end, this year is going to turn out better than many people thought initially. Having said that, we do expect that growth will slow down in the second half of the year as we do see higher tariffs than people had faced last year. And normally, that doesn't really help. I believe also a lot of people have been in a wait-and-see type of mode. But still, also in a historical perspective, 3% annual growth is more or less what one should expect in this industry. So all in all, actually, a better year than expected. When we look at the supply side of things, we see that the vessel deliveries this year are clearly lower than they were last year. And also in '26, those deliveries will be less than we had in '23 and '24. And then, I think on the right-hand side, when you look at the capacity that's older than 25 years, one should assume that between now and 2030, but already between now and the end of '27, there's going to be fairly considerable scrapping, because we see that an increasing number of ships are just becoming older than 25 years. And as you can see on the bottom, in normal years, so I would say pre-COVID, we saw that the average age at which ships get scrapped or recycled is below 25 years. And as such, I think it's a pretty realistic assumption to think that until '27, '28, we'll see quite a bit of scrapping, which also means that the net increase of ships on the water, when you look at '25, but especially '26 and '27, it's probably not all that crazy when you look at global fleet. And what happens beyond that, I think that remains to be seen. The global fleet is still or the order book is still at a relatively high level, but let's not forget that at the moment, this order book covers a significantly longer period than it normally did. And we have significantly more older ships. So yes, one can certainly argue that it's a little bit on the high side, but it is nowhere near comparable to what we have seen in the past. Then before I wrap things up, maybe a few words on our outlook. I think when we look at outlook, there's a few things where we have made some changes. I think, on transportation volume, in view of a somewhat softer second half of the year, we believe now that transport volume will increase moderately. We do expect that also, at the end of the year, we will grow significantly ahead of market on the back of a strong first half, but I would expect that also to see something similar compared to market in the second half. Freight rate, we expect still that, that's going to decrease moderately. First half was more or less online. But whereas last year, we saw the trend as increasing. If you look today at it on a start of shipment basis, we see that since the spike that we saw in May and June, tariffs have -- short-term tariffs have started to erode. Bunker price looks lower at this point in time than the last time we looked at it. And because we have 6 months under our belt, we, in essence, narrow the outlook from where we used to be. In U.S. dollars, you can see we go from $2.5 billion to $4 billion on EBITDA to $2.8 billion to $3.8 billion. And in EBIT, we go from $0 to $1.5 billion to $0.25 billion plus to $1.25 billion. So quite a logical step, I think, at this period in the year, but in essence, confirms what we saw also earlier. Priorities for us for the next -- for the remainder of this year but also for next year. First of all, focus on further fine-tuning of the Gemini network and make sure that we continue to deliver that schedule reliability day in, day out. Maintain the high customer satisfaction. We get good scores since quite a long time from all of our customers and make sure that we remain focused on that to deliver that day in, day out. We'll keep focusing on growing our Terminal business, actively working on all kinds of things, and hopefully, we'll be able to show some results of that either in the second half of this year or beginning of next year. We'll continue to invest in making our teams better. And that means we invest in training, but also definitely in the use of modern technology and data. And then finally, of course, with the market as volatile as it is today, we need to remain vigilant and make adjustments if and when that is required, and we will continue to do so as we also put more and more emphasis on this competitive cost structure, which is the point that Mark also made a little earlier, certainly one of the priorities for us over the next 12 to 18 months. And with that, I would hand it over to you, and we'll be happy to take any questions that you may have.
Operator: [Operator Instructions] Our first question comes from Omar Nokta, Jefferies.
Omar Mostafa Nokta: Rolf, Mark, thank you for the update. Appreciate the detail. Just a couple of questions for me. And maybe just as a follow-up to your commentary on industry volumes, which you expect to moderate here in the second half. 3% perhaps you mentioned is normal for the industry. Your volumes were up obviously 10% in the first half. Are you thinking also for Hapag 3% is realistic for the second half? Is that what you're anticipating for the business?
Rolf E. Habben Jansen: I mean, I expect the second half to be lower. I mean, I'm not entirely sure what your question is. The way I understood it is what do you expect to see as industry growth. I expect that the full year will probably land somewhere around that 3%. That would mean that the second half is, of course, a little bit weaker. When you look -- when your question is, what do you expect as volume for Hapag, then I expect that to be lower than the 11% that we delivered in the first half. But I would also still expect it to be a bit higher than the 3% that we see for the entire industry across the board.
Omar Mostafa Nokta: Okay. Yes. So that was, just wanted to be clear, more on, it was not that you're going to grow with -- in line with industry volumes, you still expect to outpace it, but just not to the same degree as in the first half?
Rolf E. Habben Jansen: Correct.
Omar Mostafa Nokta: Okay. And then maybe just another just a follow-up. Obviously, Gemini is now up and running. You've been achieving 90% reliability fairly consistently. You also say that there's still a few things left to do to optimize the network. Can you expand perhaps on what those would be and how that would affect or improve the network further?
Rolf E. Habben Jansen: Yes. I mean, for us, it's been a big network change. I think in fairness, the structure of the network, I think the change was probably for us a little bit bigger than for Maersk also because we changed a lot of terminals. And you simply need to get used to that different mode of working. And I think we see week in, week out that things are getting better. It's probably just that we still see a lot of further improvement potential at this point in time. And that's why I think that you will see improvements in Q3, further improvements in Q4, but probably still more in Q1 and Q2 of next year as well. I mean, it's just a fundamentally different way of working compared to what we did in the past. And that means that you just uncover new things that you can do better almost every day. And we also see it in the indicators that we look at on a daily basis.
Operator: [Operator Instructions] Our next question comes from Cristian Nedelcu, UBS.
Cristian Nedelcu: The first one, if I may ask you on the unit cost performance. If we exclude the bunker, I think in Q2, your unit costs were up somewhere around high single digits year-over-year despite some maybe operating -- positive operating leverage from higher volumes. You've alluded to some of the reasons behind the higher cost, but could you help us a bit visualize the contribution of how much of that extra cost was the Gemini, how much were congestion costs or other costs that led to that development. So if you could offer a bit more clarity there. Also on the cost savings, the EUR 1 billion (sic) [ USD 1 billion ] cost savings until the end of 2026, roughly could you give us a bit of a split? How much of that is Gemini versus the rest of the network? I believe Gemini represents around 60% of your deployed capacity. So should we use that to split also the cost or if you can offer more? And the last one, if you allow me, just I guess, as we go into Q3, you flagged the higher sequential freight rates that are helping the Gemini benefits, which are also helping sequentially. Is it fair to assume that the Q3 EBITDA should start to see a more meaningful increase versus the Q2 EBITDA level?
Rolf E. Habben Jansen: Let me try and take them one by one. I think, when you look at unit cost, I think there's basically three effects that play a role there. One is indeed the -- or basically it's four effects. One of them is the transition cost, indeed, which I think in our case, was fairly significant, and that was definitely a 3-digit million dollar figure looking at it in U.S. dollars. I think the second element that plays a role when you look at unit cost, but that's more the way we calculate it is that we've significantly grown our share of carrier haulage. And that has also an effect on unit cost. The third effect is indeed, as you say, congestion. I think the fourth effect is that, when -- as we are growing into the new network, we have certainly had some trades and some ship systems where the utilization was as planned, a little bit lower than normal, and that is something that will take us also a couple of quarters to get that up, that has actually a fairly sizable effect. As far as the savings, I mean, to split that between Gemini and the rest of the network is actually not all that easy. Because on the one hand, we have network effects that are related to Gemini, which I think we, in the past, have also indicated that being $350 million or $400 million, once we are on full run rate, we still expect to deliver that as from 2026. There are, of course, some other savings that are also directly and indirectly related to that when it's around productivity, some of the stuff around terminal handling and also some other categories. But if you would want to look at whatever it is directly linked to Gemini, then I would still stick to the number that we had before, plus probably some. But there's clearly also a lot of things that we do in other areas. So I mean, if you would assume a 50-50 type of split of, in the end, $1 billion or a little bit more than that, then you're not that far off. Then when you look at Q3, then you say sequential freight rate -- sequential freight rates should indeed be somewhat up. When you look at Q3, whether in the end, that will result in a significantly higher EBITDA. I think that, that remains to be seen to be honest, because we also have some effects that will actually impact us in Q3 in a different way. So I would still expect that Q2 is going to be at least at the -- sorry, Q3 is going to be at least at the level of Q2, yes, possibly a bit better, but that's probably all we can see at this point in time.
Operator: [Operator Instructions] Our next question comes from Alexia Dogani, JPMorgan.
Alexia Dogani: Just going back to the previous question. Can you discuss what are the effects that impact you a different way, just to kind of understand what we need to be thinking here. Then on the cost program, is that cost program going to be enough to bring back unit costs closer to pre-COVID levels? I think, last time you showed a very helpful chart that basically demonstrates there has been a lot of inflation that has led to a permanent increase in your main cost components. I guess, is the $1 billion cost out enough to bring you back to more competitive levels? And is there any costs that you think are more transient and let's say, over the next couple of years will get repriced if I think about charter rates or any other cost items, that would be quite helpful to understand. And then finally, on the scrapping opportunity. Clearly, there is a finite scrapyard capacity annually. What do you think that number is? And are you seeing investments in that area that could accelerate the scope for scrapping in future years?
Rolf E. Habben Jansen: Well, I think initially I was asked to give a comment on Q3, yes. I think, when I look at Q3, I think the underlying performance in Q3 will be better than in Q2. In Q2, we had a couple of favorable one-offs, which we will not have in Q3. So I think that's mainly the delta between one and the other. When you look at the cost saving program, I don't think we're going to get back to pre-COVID levels for the very simple reason that some of our factor costs are simply very different. We did not have EU ETS before COVID. We did not have low sulfur fuel. Those alone will drive up cost quite significantly. And then, there has been inflation that impacts our cost as well, and you certainly cannot negotiate that away. We put ourselves a target to bring unit cost down in a double-digit percentage versus what we saw actually in 2022. I think that is achievable. I also believe that this $1 billion or $1 billion plus is realistic to get that out until the end of next year, but that will not bring us back to 2019 levels. I think also anyone who believes that freight rates would go back to that level, it's just not going to happen. Because we see EU ETS, we see low sulfur fuel, we see the prices of shipyards having gone up significantly, also investments that need to be done for newer ships. We've seen more congestion as such. We turn the boxes slower, many factors that we will not be able to manage away. Last question on recycling capacity. I'm with you that there is significantly more capacity needed in the upcoming years compared to what we saw in the last few years. I do see a lot more activity from people that are considering investments in that space. Not that many projects that have already been executed, but I do expect that we are going to see more investment in that space within the next 12 to 24 months.
Alexia Dogani: And can I just explore a little bit the point of rates will not go back to pre-pandemic levels? I mean, clearly, they did in 2023. What do you think has changed in the past 2 years that makes us more confident they won't go back to those levels?
Rolf E. Habben Jansen: Well, they didn't go back in -- they didn't go back to pre-pandemic levels in 2023. Yes, in Q4, there were a couple of trades where we saw very low spot rates for a 4- to 6-week period. And that could also still happen in the future. I'm not ruling that out. . I'm just saying in the somewhat longer run, and we've also seen that even in the periods where we were pre-pandemic, then rates will always tend to land somewhere a little bit above cost. And the base cost today for all of the liner companies is simply a lot higher than what it was pre-pandemic. And as such, I cannot see a scenario where for a longer period of time -- it can always be for a quarter or maybe even 2 quarters, but for a longer period of time, those rates are going to hover at a level that is 10% or 20% below the cost that everybody incurs.
Operator: Our next question comes from Ulrik Bak, Danske Bank.
Ulrik Miles Bak: Just if you could provide a status of the bookings currently and whether you have seen an impact following the extension of the U.S.- China tariff truce just the other day? And also if you could provide your impression of the inventory level at the moment? Is it high? Is it low? I think we hear different things depending on which company you follow. And then also to your comments about softer volumes in H2. Do you think that will be broad-based or just on certain trade lanes. I mean, Asia-Europe growth has been quite strong in H1. Do you also expect this trade line to soften in H2?
Rolf E. Habben Jansen: Maybe first point on current bookings. I mean, since this 90-day period was extended for 90 days, certainly in the first couple of days of this week, we've seen somewhat stronger bookings from Asia to the U.S. or from China to the U.S. and in particular, how much of mini rush that is, I think that remains to be seen as a bit early to say that. But we've certainly seen an uptick in bookings. Inventory levels, I mean, there's mixed, I think, views on that. I would not think that inventory levels are excessively high at this point in time based on the conversations that we have, but I also don't think that they are excessively low. So I think they're actually pretty normal. We saw them running really low when everybody paused their imports from China, especially into the U.S. That's also why we saw that mini rush in May, beginning of June, after that volumes have come back to more normal level. So I think it's not very likely that inventories are very low at this point in time. When you look at softer volume, I personally think that's going to be a little bit across the board. But of course, probably a bit the trades into the U.S. are probably going to be impacted a little bit more than some others. And whether that's going to be Atlantic or Transpacific or also, for example, trades from Brazil, I think all of them will be hit to some extent. Because in the end, it's the tariffs, but let's also not forget that the U.S. dollar is also a lot weaker, and that in reality, adds actually some percentage points to the tariffs for U.S. importers. And as the dollar has weakened about 10%, yes, compared to what is it, 8, 9 months ago, I mean that's not immaterial.
Operator: Our next question is a follow-up question from Cristian Nedelcu, UBS.
Cristian Nedelcu: Maybe two questions. If we zoom in on Asia to North Europe, if we're looking at the rates, we saw a strong increase in June, resilient July. I think the SCFIS is still 50% higher today than it was in Q2. So very strong performance. But the last few weeks, we've been seeing the quotes coming down from most of the ocean carriers. So we were starting to see some pressure on the rates there. Could I ask you -- what do you think is driving this? Is it as simple as there's more incremental capacity sequentially added on this lane that is causing a bit the quotes to weaken? Or is it is demand softening a little bit? There was strong demand. We saw the CTS volumes in May, and there was strong demand for Asia, Europe and maybe that's slowing down a bit. Do you have a bit more visibility there? You could help us into August and September. And the second question on the USTR, the U.S. port fees, I expect that to start in October. I believe they don't have direct implications for you. But indirectly, as some of the carriers may need to reshuffle capacity deployment to the Transpacific in a meaningful way that the Chinese carriers, do you believe there could be consequences for the freight rates post October on the Transpacific and indirectly on other lanes as capacity is reshuffled?
Rolf E. Habben Jansen: I mean the last one, I mean that's at the moment, pure speculation. I mean, I don't have a crystal ball, unfortunately. I think that for the industry, the impact of USTR 301 will be very manageable. So I expect that in the end, that will not have a massive impact on trade. It will be a little bit more difficult for one or two carriers, but I'm sure that they will somehow also find a way to manage that. For us, the impact is 0. When you look at Asia, North Europe rates, yes, they have been fairly strong. And yes, they've been coming down. To be very honest, I think that's quite normal in this period of the year. Sometimes the peak season is ending a little bit early. It looks right now that we don't see a very strong peak running up to the end of September. But you never know, sometimes it also comes later. So these things that we are -- we've learned over the last couple of years that these things can be very unpredictable. As you said, I think volumes into Europe have been pretty steady. And I think they still are. Bookings are still robust. We just now need to see what's going to happen in the upcoming couple of weeks. It's not that a lot of capacity has been added or a lot of capacity has been removed. So I would say that's just a fairly normal fluctuation in the last couple of weeks, the fluctuations have also been less than they were before.
Operator: over to Rolf Habben Jansen for the closing remarks.
Rolf E. Habben Jansen: Thank you very much. And well, thanks, everybody, for taking the time to listen to us today. We very much appreciate it, and hopefully, that was informative one or maybe even insightful for you in some points. Thank you very much.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.